Operator: Greetings and welcome to the IZEA Inc., Third Quarter 2018 Earnings Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Ryan Schram, Chief Operating Officer. Thank you. Please begin.
Ryan Schram: Good afternoon and welcome to IZEA's Q3 2018 earnings call. I am Ryan Schram, Chief Operating Officer at IZEA. And joining me today is IZEA's Chief Financial Officer, Michael Heald; and IZEA's Founder, Chairman and Chief Executive Officer, Ted Murphy. Thanks for being with us this afternoon. Earlier today, the company issued a press release with details pertaining to our third quarter 2018 performance. If you like to review those details, all of IZEA’s investor information can be found on our Investor Relations website at izea.com/investors. Before we begin, please take note of the Safe Harbor paragraph that appears at the end of the press release covering the company’s financial results. And be advised that during the course of today's earnings call, our management team will discuss IZEA's business outlook and make forward-looking statements. These statements are predictions based on our team's expectations as of today that are subject to inherent risks and uncertainties and should not be unduly relied upon. Actual events, results or trends could differ martially from our forecast due to a number of factors, including those mentioned in our most recently filed periodic reports with the SEC. The company and our management team assume no obligations to update any forward-looking statements made in today’s call. In addition, our update today will also refer to certain non-GAAP financial measures, specifically gross billings and adjusted EBITDA. A discussion and our reconciliation of these measures to the most directly comparable GAAP measure is presented in our most recent Form 10-Q available under SEC filings in the Investors section of izea.com. With the appropriate disclosures out of the way, I am pleased to introduce my colleague and IZEA's Chief Financial Officer, Michael Heald, to provide a summary of the company’s performance in the third quarter of 2018. Michael?
Michael Heald: Thank you, Ryan. And good afternoon, everyone. IZEA reported third quarter 2018 revenue of approximately $5.8 million compared to $7.1 million in the third quarter of 2017. Revenue from Managed Services accounting for 84% of total revenue in the quarter decreased 31% to $4.9 million in Q3 2018 compared to $7 million in Q3 2017. Lower revenue was the result of smaller commitment amounts from some of our larger customers that typically commit on an annual basis along with fewer sales and a decrease in smaller customers running short-term campaigns. Software licensing revenue increased 51 times to $486,000 in Q3 2018 compared to $9,000 in Q3 2017. Fee revenue from Marketplace Spend through our IZEAx and TapInfluence marketplaces, which excludes revenue from our Legacy Workflow, was $379,000 in Q3 2018 compared to $22,000 in Q3 2017. Marketplace Spend Fees and license fees combined accounting for 15% of total revenue in the quarter increased $864,000 in Q3 2018 compared to $31,000 in Q3 2017. The increase in Marketplace Spend Fee revenue and license fee revenue is a result of increased SaaS services offered by IZEAx along with the acquisition of the TapInfluence SaaS platform and its customer base. Marketplace Spend excludes revenue from our Legacy Workflow from the Ebyline platform, in which we do not invest sales or development resources into. Bookings which represent sales orders received less any cancellations or adjustments amounted to approximately $9.5 million in Q3 2018. This consisted of $4.4 million in Managed Services, $2.8 million in Marketplace Spend Fees through IZEAx and the TapInfluence platforms and $1.6 million in Licensing Fees. Gross billings for the quarter were $9.2 million, up from $4.9 million in Q2 of this year. Revenue backlog at the end of the quarter was $9.8 million. Revenue backlog consists of $5.1 million in unbilled bookings for campaigns, which have not yet started, as well as unearned revenue of $4.7 million for campaigns that have been built but are not yet complete. Cost of revenue decreased $905,000 from Q3 2017, primarily due to lower revenues in Q3 2018. Cost of revenue as a percentage of revenue improved to 41% in Q3 2018 compared to 47% in Q3 2017. Our cost of revenue consists primarily of direct costs paid to our third-party creators, who provide the content and sponsorship services and our internal personnel costs for those who are primarily responsible for the fulfillment of our obligations under our Managed Services contracts. Although our internal fulfillment costs have decreased 4% from approximately $609,000 in Q3 2017 to $584,000 in Q3 2018 due to an 8% reduction in departmental personnel year-over-year, our internal fulfillment cost as a percentage of revenue increased to 12% in Q3 2018 compared to 9% in Q3 2017. This was primarily due to our fixed internal costs that do not fluctuate with revenue becoming a larger percentage of revenue when revenue decreases. Total cost and expenses were $7 million in Q3 2018 compared to $7.7 million in Q3 2017. Total costs and expenses largely decreased due to the lower cost of revenue. Included in these expenses for Q3 2018 is an accrual for an estimated $500,000 of non-recurring legal costs. Net loss in the third quarter of 2018, including this $500,000 legal cost accrual was $1.3 million, or a negative $0.13 per share, as compared to a net loss of $559,000, or negative $0.10 per share in Q3 2017. Adjusted EBITDA for the third quarter of 2018 was a negative $294,000 compared to a positive $221,000 during the same period of the prior year. As of September 30, 2018, we had $3.9 million in cash on hand and stockholders' equity of $7.9 million. Net receivables at the end of Q3 2018 were $6.8 million. This has more than doubled from the $2.8 million at the end of Q2 2018, as a result of the significant increase in gross billings in the quarter. In addition, cash on hand at the end of Q3 2018 includes approximately $1.7 million outstanding on our $5 million credit facility with Bridge Bank. Ryan?
Ryan Schram : Thanks, Michael. Our teams across the United States and Canada had a busy and productive third quarter. Notably, the industry has taken new notice of IZEA. Thanks for acquisition of TapInfluence this summer. And for good reason, we are now home to arguably the largest marketplace in the business with a roster of the leading practitioners for influencer and content marketing on our team. However, a core part of IZEA’s belief system is a today's success can breed tomorrow's failure. It has made us just complacent about staying focused and continuing to accomplish things other companies simply cannot. As mentioned during our last earnings call, our team is focused on new opportunity pipeline generation, which is the total dollar value of proposals presented declines during a specific period as an important lead indicator of positive momentum for our business. Year-over-year new opportunity pipeline growth began to return at the end of last year and the positive momentum has continued throughout 2018, reaching $28 million created during the third quarter an increase 32% year-over-year. The third quarter also presented numerous wins in the form of new contracts from a diverse array of sectors and investment levels, including a brand direct relationship with a top 50 US retailer, an upcoming holiday based influencer marketing program for a top 50 restaurant chain and a Fortune 100 healthcare company. The company saw new commitments from returning-clients, including expansion relationship with a Fortune 10 customer, a Fortune 50 automobile manufacturer and a Fortune 200 financial services provider. The company refers these client wins by category and rank instead of brand and corporation name, due to industry standard confidentiality clauses. However, in an effort to provide visibility around momentum to our shareholders we feel it’s important to highlight particularly notable commitments in as detailed manner as possible whilst in a public setting. Another highlight of Q3 was the selection of IZEA as an official Pinterest marketing partner for content marketing. The inclusion in the Pinterest marketing partner’s program provides IZEA with exclusive API access to insights that will enable brands to more easily discover Pinterest influencers and their contents. IZEA has made this data available to licensors of IZEAx, including in Unity Search, Unity Lists and Influencer Profiles. Influencers are now also able to add Pinterest to their profiles through the IZEAx web app as well as IZEAx on Android and iOS. We have capitalized on the catalyst the TapInfluence acquisition provided for IZEA. Following the Labor Day holiday our newly combined team set out on an ambitious roadshow schedule with the goal of spending time with our SaaS customer base and showcasing the vision of the combined company strengths. This included executive briefing sessions showcasing IZEA’s technology innovation roadmap, details on our joint value proposition for both SaaS and managed services, as well as collaboration and feedback around the integration timeline of the two platforms. All-in-all, it was weeks of travel to cities big and small, coordinated by newly aligned teammates, but it was a colossal success. The response we received was consistent and clear. That industry continues to require improved technology, articulated thought leadership, and efficient marketplaces enhanced by consolidation. Last but not least, IZEA has continued to invest in supporting essential and impartial research around the influencer and content marketing space. Last week, we announced findings from the 2018 State of the Creator Economy reports commissioned by IZEA and conducted in partnership with research firms the Right Brain Consumer Consulting, Lightspeed GMI and Research Now. The study now in its 8th year has become the industry-leading independent view of both the influencer and concept marketing categories from the vantage points of creators, consumers and marketers. One of the key highlights within general consumer-perceived decline in effectiveness of all types of marketing messages over the last year, influencer marketing messages remain top ranked in effectiveness within the full spectrum of marketing approaches amongst both consumers and marketers. Both influencer and content marketing messages also were seen by marketers of having made the strongest year-to-year effectiveness gains, increasing by more than 40 points as reflected by the Message Effectiveness Momentum measure. All-in-all four year trend shows study perceptual gains for influencer marketing, while at the same time traditional advertising approaches show a continued flat line or downward effectiveness line. If you would like to learn more about these and other interesting findings from this year’s study, an executive summary is available for free download on izea.com. Now for some additional commentary on IZEA's third quarter and for perspective on the road ahead for the company, I'll turn the call over my colleague, IZEA's Chairman and Chief Executive Officer, Ted Murphy. Ted?
Ted Murphy : Thank you, Ryan. We are excited by the momentum generated in Q3. The acquisition of TapInfluence and the additional operating capital we raised in the quarter have provided a meaningful catalyst for the company. We believe that the acquisition further solidifies our leadership position in the influencer marketing space and highlights the scale of our operation in an otherwise fragmented market. As Ryan mentioned, we have moved swiftly to integrate the two organizations post acquisition. We were able to realize the benefit of cost reductions quickly through a diligent streamlining of combined operations. Our team took a company that was losing millions of dollars per year and transformed it under the IZEA umbrella to have a positive impact on our overall EBITDA. Our engineering team has already been leveraging task intellectual property in core aspects of its user experience to enhance IZEAx. For instance, the discovery tool inside of IZEAx has become meaningfully better with the addition of the search rank algorithm reported from the TapInfluence platform, but the discovery is set to take a much bigger leap forward in this current quarter. We anticipate releasing a brand-new standalone version of our discovery platform, with a radically new user interface before year-end. This new offering will be called IZEAx Discovery. It will be marketed through a slipstream self-service sign-up via credit card. The introduction of this new service is scheduled to coincide with the launch of a brand-new izea.com and the design and marketing refresh of all of our materials. This will be an overhaul of our brand and it is gorgeous. The newly combined IZEA and Tap marketing teams have done a fantastic job with refreshing the brand identity. This work dovetails into a renewed commitment towards software licensing and marketplace revenue moving forward. This does not mean our Managed Services line of business will go away by any means. We see these offerings as being complementary to each other and IZEA will continue to offer tech-enabled managed services to the clients that prefer to work with us in this capacity. However, we believe the greatest opportunity for scaling our operations is in the licensing of the technology that makes our managed services possible and focusing on customers who want to invest in both areas. Consider Q3 4.4 million out of 9.2 million of IZEA gross Billings is from licensing of technology and the spending within those technology platforms. That is the most half or 48% of gross billings in the quarter. We see an opportunity for this spend to continue to grow as more agencies and brands work to bring scale, management and measurement to their influencer and content marketing efforts. We’re aligning our internal resources in order to support that growth and to provide customers with the best possible experience. At the core of that strategy is IZEAx. We've been investing in the next generation of IZEAx, IZEAx 3.0 for the past two years and we’ve rolled out significant incremental upgrades during that period. However, the most powerful aspect of IZEAx 3.0 is yet to be released. The acquisition of TapInfluence and the partnership and tech integration with Pinterest have created even more opportunities to innovate with the release of IZEAx 3.0. We expect to release this version in Q1 2019 with a slew of new features developed as a result of the TapInfluence acquisition. Meanwhile, IZEAx Discovery is expected to launch in Q4 2018 and we also plan to begin the rollout of PAYPOP, a brand-new feature designed for a creator's. In IZEAx we currently pay our creators 30 days after their content is posted or received. With PAYPOP certain qualified creators will be able to request immediate payment upon posting and verification in exchange for a discounted payout ranging from 5% to 10%. For example, if a creator did a post for $100, that creator could choose to be paid $90 immediately or wait a typical 30 days and get paid the full amount. In most cases IZEA will be providing the cash prior to receiving payment from the customer in exchange for additional margin on the post. We plan to roll this program out slowly in order to understand usage patterns and cash flow impact over time. However, we are excited by the margin expansion opportunities this presents. We continue to explore industry consolidation opportunities in our space. There is considerable opportunity for growth within influencer marketing as well as the broader creator economy. Our management team is active in evaluating M&A opportunities with organizations that could expand our revenue base, improve efficiency and better serve our customers. As we look to the remainder of 2018, we have four goals: Close on the pipeline we have already established; continue pipeline development momentum and aggressively pursue new opportunities; successfully deploy IZEAx Discovery; and continue the TapInfluence transition with customers. Growth remains important to us, and we will continue to balance our investment in sales and marketing against our desire to be EBITDA positive in order to fuel that growth. We intend to put incremental marketing resources towards the launch of our key upcoming products and initiatives, which may have some impact on EBITDA in certain quarters. That said, we remain focused on becoming EBITDA positive, and I believe this was reflected in Q3, where we delivered a significant reduction of EBITDA loss versus Q2. We believe that we will be EBITDA positive again in Q2 of 2019 barring any additional transactions between now and then. There is much opportunity in our space. Our team is focused on executing on our plans and I'm incredibly excited by what 2019 will hold for IZEA. Thank you for spending your time with us this afternoon. I would now like to open the call for Q&A.
Operator: [Operator Instructions] Thank you. Our first question comes from line Eric Des Lauriers with Craig-Hallum Capital Group. Please proceed.
Eric Des Lauriers : A couple, first on the TapInfluence acquisition and then some follow-ups after that. So it seems like the integration is going pretty well so far, especially on the cost side. You mentioned transitioning clients to be completed next year. I was wondering if you could talk a little bit more about that process and why it should to take about a year to complete?
Ted Murphy: We are making that a slow process and a deliberate process because we want to make sure that we have everything in IZEAx that those customers are accustomed to in TapInfluence. There are definitely differences between the two platforms. They function -- they have some similar functions but they definitely function differently. So we're basically meeting with all those customers right now for gathering their feedback. And our goal is to make sure that when they make that move it is a move of parity plus and that they are getting significantly more from their IZEAx experience than they were from the Tap experience. We also want to make sure that we've got IZEAx 3.0 out prior to bringing those people over.
Eric Des Lauriers : So essentially just that's how long it’s going to take to transfer them to the IZEAx platform and not necessarily how long it will take you guys to be able to perhaps offer managed services, is that the right way to think about it or just that you guys will stay in the TapInfluence of service platform until about a year from now?
Ted Murphy: Well. To be clear we have some customers who are already starting that migration. It really kind of depends on what the customers’ needs are and what specific functions they're using inside of TapInfluence. We are already doing some cross-selling with those customers and we are making them aware of our content services, we’re making them aware of our promoted post and we’ve had a number of customers already choose to execute on those programs. So we are seeing some cross-selling already but we’re not going to make the move from TapInfluence to IZEAx until we are satisfied that that customer’s specific needs are met within the current platform.
Eric Des Lauriers : Okay, that makes sense. Thanks. And then another one on TapInfluence, so I have noticed that the subscription revenues have been somewhat steadily decreasing I think 2017 had 3.8 million and then this quarter suggests an annual run rate of around 2 million. I was wondering if you could help us explain or help us understand that trend and if it's something that we should expect going forward that to continue or we should expect the subscription revenue to sort of slowly climb up or near?
Ted Murphy: Yes. I think that if you look at Tap historically they had a sales team that was going after customers that weren't necessarily qualified to be long-term customers, they were able to on-board them, bring them on to the platform but a lot of those customers turned out pretty quickly because they really didn't have the type of influencer marketing spend that would warrant spending several thousand dollars a month on a software platform like this. When we made the acquisition of TapInfluence, I would say that majority of those customers that were still in the platform were more of the enterprise customers who were spending significant amounts of money through the workflow and we expect that those customers should have a pretty decent retention rate. As we look at new sales, we are only selling IZEAx to customers nobody can sign up for a new license of TapInfluence at this point. On the IZEAx side, we’re incredibly excited by what's happening there. We have had zero churn in IZEAx customers that we’ve signed up this year and the feedback has been fantastic. So we’re feeling really good about that and we feel like we've got a pretty solid base of TapInfluence customers, now the people that are in there are really kind of the power users overall.
Eric Des Lauriers : Okay, that helps. I appreciate the clarity there. And then you mentioned the beginning of the year you got to be pursuing smaller customers sort of as a way to decrease your concentration and you cited a decrease in the number of smaller customers running short-term Managed Services campaign I believe. I was wondering if you could sort of speak a little more to that strategy you guys set out in the beginning of the year and how it’s shaking out compared to your expectations?
Ted Murphy: Ryan, do you want to take that?
Ryan Schram: Yes, sure. Hey, Eric. There is a couple of things going on here. I think you're referring to the Managed Services unit. And yes, from a pipeline perspective, that pipeline has a pretty wide spectrum of deal sizes in it as we reported that number obviously for this quarter. And in terms of the composition that you're seeing in quarter three, on an average deal size basis, we’re starting to benefit from the fact that we worked as reliant on those bigger deals overall on a comp basis and we’re really pleased to see that there not only is that kind of customer but it does give us that diversity that we are looking for. I will say just to kind of provide some forward-looking thought to it, quarter four happens to be a period in Managed Services whereby there are annual re-commitments, so investors should expect that there's a possibility that number on average would go up for quarter four just by the virtue of some of our customers who are also on a fiscal calendar year re-upping their commitments for certain programs that one for multiple quarters.
Eric Des Lauriers : And then last question from me. Gross margins came in much ahead of our expectations. I was just wondering as you continue to integrate TapInfluence just how we should expect those gross margin levels to persist going forward efficient kind of hang around this high 50s range or if you expect them to move materially one way or the other? Thanks.
Michael Heald: I think that that's a developing story right now. We're certainly pleased by the margin expansion there. A lot of that obviously has to do with software licensing and marketplace fees. And as we get more Marketplace Spend that definitely has a positive impact on the overall margin. There are also initiatives like PAYPOP that we are rolling out that should help that margin additionally, but I think that right now if you just kind of model forward what this quarter looks like, I think that that's a pretty safe bet, I don't think that we’re necessarily going to slide backwards from there. But in a lot of this is going to be dependent on how the Marketplace Spend continues to increase overtime.
Operator: Thank you. Our next question comes from line of John Hickman with Ladenburg Thalmann. Please proceed.
John Hickman : Ryan or Ted I don't know who wants to take this but could you elaborate on what the sales pipeline for the third quarter, the 28 million. What does that really mean, like if everything closes it’s $28 million of new business or what -- could you elaborate on that?
Ryan Schram: Absolutely, so the pipeline number that we report John is the total value of all proposals placed in front of clients during that period of time. So the answer to your question, that's correct. If we were to sell every dollar we put that’s $28 million in our pocket, and when we talk about conversion on the Managed Services business as well as the SaaS business that obviously converted different percentages throughout the year, and different percentages by unit.
John Hickman : Okay, so last -- or earlier this year, we were concerned with the historical norms of how long it took to close on a proposal and you were experiencing lengthening times back in the early part of this year and then theoretically, those times it normalized, what are you seeing now?
Ryan Schram: The correlation and the concern back then and what's different now is that we're really focusing on those larger deals sizes which when they close it’s fantastic. They just take a lot longer to close and we’re often working brand direct when doing so and those are great wins for us, but we want to basically bet the farm on that. So it was consistent with what Eric asked previously, which was that are we seeing this ability to benefit from a wider variety of deal sizes for example, not just going after six digits or low seven digit investments, but really solid five digit ones and the answer has been that, yes part of the increase in our belief compared to quarter three of last year, that 32% growth in pipeline is partially driven by the fact that we’ve been able to have a team focus on widening that spectrum that I was referring to.
Ted Murphy: The other thing that I would add there John is it's not just that the pipeline itself has increased over Q3 of last year, it’s the diversity of that pipeline has dramatically increased too. So the raw opportunity count, the number of proposals that we’ve put in front of customers has increased by 51%. So we have less reliance on those bigger contracts in order to hit our sales goals.
John Hickman : So Ted as long as you’re talking, can you give us any idea of -- can you quantify at all the momentum of your bookings for going into Q4?
Ted Murphy: Yes, I mean I feel really good about where we're heading. The average bookings per person hit an all-time high in this quarter and I think that we continue to see gains in efficiencies through our operations as well. Those bookings are what ultimately translate into revenue. And there's a trail on recognition depending on what type of revenue it is. I'd say that on our Managed Services is recovering. The SaaS business is progressing really nicely and not having any churn in our SaaS business from those customers that we’ve signed this year is -- that’s a huge thing for us. We originally had rolled out a sales -- or a SaaS platform a couple years back and we were premature on the market, we were premature on the product and I feel like we've got the right mix now. This is a major renewal quarter us, for customers that were acquired through TapInfluence I would say that these renewal so far have been going really well for us but December is a big month. This is also going to be a big quarters, Ryan had mentioned four commitments from some of our longer-term customers on the Managed Services side. So, we’ve got plenty of work to do to close out the year, but I'm feeling pretty good about where we are and I would expect that Q4 bookings and revenue are going to be up sequentially from Q3.
John Hickman : And just. I guess that's it from me. Thank you.
Operator: [Operator Instructions] Thank you. Our next question comes from the line of Nick Ringer, a private investor. Please proceed.
Unidentified Analyst : So one of my questions largely has to do with your acquisition of TapInfluence. I just was wondering, if you could give a little bit of background on how that's affected your services capabilities and also how that's contributing to your new business opportunities?
Ted Murphy: I'll let Ryan take that one.
Ryan Schram: Sure. The benefit to TapInfluence from our perspective Nick is that it was accretive in multiple dimensions. They were a pure play SaaS organization. So being able to bring in not only that customer base but the technology that Ted outlined in his prepared remarks, as well as the personnel, who have the expertise in those lines of business, has been really valuable to IZEA in this opening quarter or so of the working relationship. When we look at the opportunity here, I addressed this very briefly in my remarks but what we're hearing consistently from both our brand clients and our agency clients is they are looking for a brand tech company like IZEA to provide a hybrid solution, a very technology ladened software-focused business that then has the ability to provide very nuanced expert level services when needed. People are not necessarily looking for the “agencies of yesteryear” they're looking for thought leadership in a totally new direction. So we feel like adding Tap to the IZEA family has been a real win. We've been very pleased with the response. And I had an opportunity myself personally to meet with many of their customers face-to-face and I think as we tell this newly combined story about influencer and content marketing in a way that is actionable for these companies and frankly just efficient, we've been doing a lot and now we’re having some positive response.
John Hickman : Alright, very good. Yes, it's good to hear you're focusing a little bit on the software. I saw that your revenue from software licensing had a pretty nice increase there and I'm curious how you plan to move forward with focusing on continuing to increase the revenue through software licensing. Could you touch on that how you expect that to impact your business in the future?
Ryan Schram: Sure, it's really a three-part plan. The first part like Ted was saying a moment ago is focusing on some of the critical renewals of legacy TapInfluence customers that are coming up here in quarter four. We've been working very hard towards that on the near-term. Mid-to-long-term the other two points I would say is we’re continuing to win new business on IZEAx and focusing on maintaining those customers. We are proud of that zero percent churn so far, but we have a lot of work to do there. We continue to provide people with that positive experience and really help them see the value of all the tools that we've been building. The third step really for the growth potential is tied partially to migration of legacy Tap customers toward IZEAx, but also, frankly, expanding those relationships. What we’re finding is that the ability to not only have a marketplace that does influencer marketing, but also content marketing and promoted posts, all in one place is a naturally incremental area for growth for us. The other interesting nuance of course is that we are a services business and we have customers who are in both camps, some who license our software, whether it's Tap or IZEAx, who say that’s great, I’ll keep licensing that but I need your help for say planning a Super Bowl execution for Managed Services and that's a great up-sell or cross-sell opportunity. The same thing goes in reverse. We have some people who work with us for years in Managed Services and continue to but they realizes that they could actually be doing more programs or maybe smaller than that they would normally engage us for or they were doing themselves manually and they love to license our platform to execute those. So we see multiple dimensions of growth opportunity with this. And I think the more we can tell about that story Nick about this unified approach of our software and services we’re going to do a lot more opportunity in front of us.
Operator: Thank you. Our next question comes from the line of Joe Shino, who is a Private Investor. Please proceed.
Unidentified Analyst: I am a big fan of the company and excited for the growth going forward. My question is simple. There seem to be a lot of positives going on, but it doesn't seem like the market is buying I guess the story, or I guess my question is what will it take for the market to feel good about it as a lot of the people here on this line do and as you do, where it seems like it's always discounted and I’m not sure why?
Ted Murphy: I'll take this one, I think the micro-cap or really in our case the nano-cap market it’s a difficult space to be in. We know that a lot of the regulations have changed that have precluded brokers from recommending stocks of our size. And so that can be a bit of a challenge for us. We also recognize that it’s kind of relatively thinly traded and low-float and all those things kind of impact the stock. What we try to do as a management team is really focus on executing as best we can and we believe that ultimately that execution will deliver shareholder value and will ultimately be recognized by the market, but I think that the management team shares a little bit of your frustration and that we think we’ve built a pretty incredible company here and we certainly would wake more investors to be aware of it and to be supportive of it. But we believe the way that we do that is to continue to deliver over time.
Operator: Thank you. We’ve reached the end of our Q&A session. I would now like to hand the call back over to Ryan Schram for closing remarks.
Ryan Schram: We thank everybody for joining us this afternoon and as always, we encourage you to visit our investor relations website, it’s available on the IZEA website, which is izea.com/investors. Thanks again for your participation and your support. Have a wonderful evening.
Operator: Thank you. This concludes today’s teleconference. You may now disconnect your lines at this time. And thank you for your participation.